Operator: Good day, everyone, and welcome to The Williams/Williams Partners Third Quarter Earnings Release Conference Call. Today's conference is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Mr. John Porter, Head of Investor Relations. Please go ahead, sir.
John D. Porter - Head-Investor Relations: Thank you, Michelle. Good morning and thank you for your interest in Williams and Williams Partners. Yesterday afternoon, we released our financial results and posted several important items on our website, williams.com. These items include yesterday's press releases and related investor materials, including the slide deck that our President and CEO, Alan Armstrong, will speak to momentarily. Our CFO, Don Chappel, is available to respond to questions. And we also have the five leaders of Williams' operating areas with us. Walter Bennett leads the West; John Dearborn leads NGL and Petchem Services; Rory Miller leads Atlantic-Gulf; Bob Purgason leads Access Midstream; and Jim Scheel leads Northeast G&P. In our presentation materials you will find an important disclaimer related to forward-looking statements. This disclaimer is important and integral to all of our remarks and you should review it. Also included in our presentation materials are various non-GAAP measures that we reconcile to General Accepted Accounting Principles. These reconciliation schedules appear at the back of the presentation materials. With that, I'll turn it over to Alan Armstrong.
Alan S. Armstrong - President and Chief Executive Officer: Great. Thank you, John, and good morning everyone. Thanks for being on the call with this early this morning. Before we discuss our third quarter results, I'd like to provide a brief update on the transaction we announced with Energy Transfer on September 28. We are on the path to completion and we expect to file the proxy statement soon. The transaction will then be subject to SEC review and regulatory approval and is expected to close in the first half of 2016. With that, I want to reiterate that the focus of today's call is going to be on our financial and operational results for the third quarter. And I ask that you please keep your questions focused on our results, and I want to thank you in advance for your cooperation on that. So we are going to hold tight to that. And so, now, just some brief thoughts on the fundamentals relevant to the third quarter and the industry in general. Overall, I have to say, it really was a great third quarter for us from an operational performance perspective, a project delivery perspective, and progress towards future growth. We remain very focused on execution, on cost management, and taking advantage of the great asset positioning that our strategy has delivered, and I think this focus really showed up here in the third quarter. Importantly, despite the fundamental pressures on our industry from dramatically lower commodity prices, we've continued with very substantial growth in our adjusted EBITDA and DCF, so really, really showing the strength as we continue to see prices erode and some really dramatically low NGL prices in the quarter, but our strategy of continuing to invest in these big fee-based projects is really starting to overwhelm those lower prices. And so that's not to say we aren't feeling some of the effects of the low commodity prices directly in our commodity margins and indirectly via the volume shut in on some of our gathering systems, particularly in the Northeast. However, because of our unique position, we continue to deliver strong results and we see strong growth ahead from our projects, especially on the demand or market side of our business as the U.S. industries and the international markets look to take advantage of North America's abundant and low-cost natural gas supplies. The North American producers continue to really amaze us and continue to innovate and deliver production at costs levels that no one thought was possible even a year ago, and while this has led to painfully over-supplied markets in the short-term, it continues to lead the way towards growing demand and expanding prosperous markets for natural gas and natural gas derivatives. And so, over the long-term, we think we're really seeing a supply-led expansion, and I know that people are getting impatient about that, but I can assure you, as you look through our backlog of projects, it's very evident to us that that capital is going in place to pave the way for growing demand. So the current barrier to the success that we speak of and look forward to really is the low-cost access to these expanding markets and that's in the way of pipelines primarily, but also other infrastructure required. And we are certainly building out this capacity, it is not just important for Williams, but for the industry, and it's also important for the North American economy. And we really are very excited to be taking on these important challenges at Williams and see it as a critical next role in really delivering the tremendous value that the North American producers have developed via their innovation and continue the learnings in developing our low-cost resources here in the U.S. So with that, let's move on to slide two. Overall, our strong third quarter results underscore the effectiveness of our strategy to connect the best natural gas supply to the best markets with all this fee-based infrastructure we continue to invest in. This accounted for more than 90% of our gross margin during the quarter and will continue to be that for quite some time. And the tremendous efforts by our teams to deliver the continuous string of large-scale infrastructure projects required to realize the fruits of the strategy. Once again, we showed our ability to deliver substantial growth in EBITDA and DCF despite much lower commodity prices; and in fact, four segments of our five segments realized substantial growth and our fee-based revenue, which was up over $200 million in the quarter, overwhelmed the dramatic drop in commodity margins from the third quarter of 2014. Additionally, our DCF of $754 million delivered a 1.04 coverage, and that's even without recognizing the benefit of the $209 million IDR waiver for the quarter that was associated with the WPZ/WMB merger termination. So let me now drill into the drivers for this 21% improvement in EBITDA for the third quarter of 2015 to the third quarter of 2014 comparison. First of all, big congratulations to our Atlanta-Gulf team who delivered $414 million for the quarter, up 53%. Even more impressive was that this was in the face of dramatically lower NGL margins in the Gulf Coast, and the drivers for this strong performance were a lot of projects continuing that were brought on earlier in the year, things like Gulfstar One, Discovery's Keathley Canyon Connector, but also a full quarter on new Transco projects, including Rockaway Lateral in New York. In addition to that, the team also delivered a new project during the third quarter, which was the first phase of the Virginia Southside lateral, which our team delivered on time; and we also were able to get some early revenues from the mainline services associated with the Leidy Southeast project, and that we brought in those revenues well ahead of schedule. Of course, the Leidy Southeast lateral is not yet online, but the mainline portion for gas flowing from that lateral, we were able to bring some of that on early. So great job by both our commercial team and our project teams in continuing to deliver (08:32) on that. And as you'll see on the next page, you'll see a string of projects that Atlantic-Gulf continues to grow as we provide capacity for the demand side of this growing natural gas market. At the Access level, $351 million of adjusted EBITDA. That was up 9% on – this is really driven on fee-based revenue growth, of course, and we saw both the mix of volume growth and contractual benefits across multiple areas provide steady growth in EBITDA despite challenging commodity prices in those basins as well. Specifically, the increase in adjusted EBITDA between 2014 and 2015 was driven by higher fee-based volumes and contractual support from the minimum volume commitment agreements, as well as the increased ownership interest in the Utica East Ohio Midstream. And so, as you'll recall, we transacted on that earlier in the year, and so that delivered here for us in the third quarter as we stepped that up. And this was despite that area being impacted by very low commodity prices in this basin for both gas and NGLs. And so we did see some shut-ins in that area that were fairly significant in the third quarter, but we've seen a lot of that production return to service now, headed into the fourth quarter. In the Northeast G&P, $87 million, up 28%, also on higher fee-based revenue and this certainly during the quarter – a few things to note here, price-related shut-ins from our producers did dramatically impact the fee-based revenue growth on our gathering volumes, but this – we still managed to grow those volumes by 13% despite some very large shut-ins in the quarter. And as well, our volumes processed. So the inlet volumes to our (10:34) processing plants actually grew by over 40% and NGL production was up 2.5 times last year's production; thanks to new processing facilities that were installed in the first quarter at OVM. Of course, the NGL & Petchem, I was glad to see a solid quarter of operations from the expanded Geismar plant, and the team hit some very impressive production levels during the quarter as they really started to learn what they could do with the new facility there, but unfortunately, the ethylene margins that we realized during the quarter were much lower than we had expected earlier. But again, from an operational perspective, some nice performance coming from the team there. Canada also had strong production levels with propylene sales being up 29%, but also suffered weak pricing in the propylene area there as well. The NGL services side had a strong operating quarter as well. And so when we speak of that, that's our NGL transportation and storage piece that's in our (11:40) NGL & Petchem unit. And actually saw the NGL transport volumes on our Overland Pass Pipeline go up by 59%. So overall, a big step up in adjusted EBITDA from $22 million to up to $85 million for this business unit in the quarter. And then, finally, while the West saw a 28% decline in its adjusted EBITDA to $161 million really driven by dramatically lower NGL margins, it really was a good operating quarter in terms of the team doing everything they could to deliver the best numbers. And we really saw that show up in the way of lower operating costs, and the team was able to hold our fee-based service revenues flat versus third quarter of 2014. And so really, really great effort by the teams out there to keep the volumes continuing to flow out there and continue to reduce our costs. The NGL unit margins that we realized in the West actually were at a 10-year low, as we saw NGL – sorry, we saw NGL sales fall by over $70 million this year in the 3Q versus 3Q comparison. Total volumes on Northwest Pipeline were up 14% and this is due to both the increased use of natural gas for power generation in the Northwestern states as well as some basis differential spreads that were existing between prices like ACO (13:21) and the Western states. So really a good sign. I'll tell you, (13:23) when we see volumes pick up, even though they're interruptible and people taking use of the capacity, when you see that kind of increase in our throughput volumes on the system, that's always a good sign for long-term firm (13:35) sales, which is really where we make our money on a pipe like that. So moving on to slide three here, just a picture here of the continued delivery of projects and great job of our team continuing to put these projects into service. We said back in the first half of the year that the demand side of the natural gas market is driving our capital investments, and I want to touch on some of these projects here. First of all, the Transco Virginia Southside, as I mentioned earlier, was placed into service in September of 2015, and, of course, we look forward in the fourth quarter here to see the benefit of a full quarter there rather than just the one month. I also would just note there, really impressive execution by our team who really had some very difficult obstacles to overcome in the construction in that area, and I won't bore you with all of the details, but I would just say that the ability to deliver that on schedule given some of the obstacles that the team faced there was very impressive, and I want to recognize the great efforts there. On Gulfstar One, we continue to see strong fee-based contributions to EBITDA. Lots of work going on right now out on that platform to tie back the Gunflint prospect and to further improve production from the existing completed wells. On the – moving to the Discovery facilities, continue high utilization on the KCC system. We continue to see record volumes on that system and the team is doing everything they can to maximize throughput, because there is a lot of throughput wanting to get through that system right now. And as well, we're seeing a lot of exciting growth on the horizon for this investment as well. And so really excited about the future for Discovery out there, both in the current and in the future. On the Northeast G&P, on our gathering processing in the Northeast; we did execute the Pennant JV. And just to give you a little bit of color on that. That's a joint venture that really allowed us to take advantage of some large dedications that we had up in the area and that were some legacy acreage dedicated into that (15:59) we had up there and we were able to combine those acreage dedications with some players that already had some flowing production in the area as well as already had a lot of the capital invested in some new infrastructure up there. So really excited about the work that our team did there to take advantage of our acreage dedication and find a way to work with partners in the area. That's a very capital efficient way for us to monetize some of those big acreage dedications up there in Northwest Pennsylvania and Northeast Ohio. On the dry Utica side, of course, we announced a significant increase in the dry Utica acreage from Chesapeake in the quarter. But we also are really excited to see some significant dry Utica wells showing up in the OVM area, so right there, just to the East of the Ohio River, right in our backyard there in OVM, and really seeing some impressive wells that are being completed on the same pads that were earlier developed for the Marcellus-rich area, and really this is a common story here for the Northeast; just tremendous resource potential up there, and an ability to produce a lot of gas at very low cost. But we sit here and – as a whole industry – and really are anxious to see the new takeaway into the structure (17:17) goes into service. And I'll just tell you, there is a lot of growth potential for the future up here and really just dependent – not really on improved prices from where we are today really, just access to those markets both on the gas and the NGL side. So really, really excited to see the opportunities continue and the growth for the future up here just continues to expand its horizon for us. On the Haynesville, the 2016 and 2017 MVC cash flows were unchanged via our contract renegotiation with Chesapeake and we were able to extend our dedication through 2035, and also brought in a very substantial additional drilling commitment, which will drive those increased volumes beyond the end of the MVC obligations there in 2017. So great job. I know there has been a lot of debate out there. But I'll tell you, from my perspective, any time we can hold our current cash flows – commitment to cash flows via those MVCs and expand the Horizon and help a customer continue to grow for the future and us enjoy that growth with them, I think that is a win-win. I'm really proud of the team and very excited to continue to work with Chesapeake on finding ways that are mutually beneficial to our organizations. At Geismar, the expanded plant, as I mentioned earlier is meeting our production expectations, and it actually – even though some very hot periods will tend to lower our throughput capability, we hit some pretty impressive numbers relative to our expectation in production for the quarter and expect to see that continue here into the fourth quarter. We also announced the fee-based off-take contract that we executed for the Alberta PDH facility and we are moving to the next phase of project development, and we do expect the FID or the final investment decision in the third quarter of 2016. But I would tell you, a lot of great work going on there by the teams and really it's hard work to make sure we know (19:42) exactly what our estimate is going to be and that we execute that project in a flawless manner. So a lot of time and care being taken on the front end to get that right, exactly how we ought to be taking on a big project like that. In addition, looking forward, I want to touch on just a few projects that are going to come on later this year. First of all, the Transco Leidy Southeast expansion. Really important, not just for the cash flows that that project will deliver, but as well, because it's going to provide additional gas takeaway of about 525 million a day coming out that'll be in service in the fourth quarter of 2015. Our Canadian Offgas Processing project, a project we refer to as Horizon; we expect that to be mechanically complete here in the fourth quarter of 2015. We don't expect any meaningful cash flow from this asset until first quarter of 2016 as we'll be starting this up in the dead of winter up in Fort McMurray, Alberta; and if you've ever been up there in that part of the year you know what I am talking about. So great job by the teams really trying to push through to get that project completed and we are looking forward to bringing that big project on line and into service well during 2016. And then finally, our Kodiak tieback to our Devils Tower platform, is expected to come on in the fourth quarter of 2015. And a lot of times this gets left off of our project list just because we're not spending the capital on that, so it doesn't show up as a major project where we're being reimbursed what capital we are spending, I should say. But it is a very meaningful additional to our cash flow. And so it really is an exciting project for us and continues to show that our deepwater strategy is alive and well with Devils Tower moving into its, I guess,12th or 13th year now of operation. Once again – I think there is a very extensive list and I'm proud of our teams for the progress they continue to make and the growth they're delivering, and Williams really does have a truly unique position in terms of our asset footprint and the kind of projects that we continue to string together. Moving on to slide four, you can see here a list of demand-driven projects. It is very significant. So while most of the attention in the industry for the past year or so has been focused on prices, production curtailments and shut-ins; we've really been focused on serving the growing demand side for natural gas and we expect to see that continue. And as you can see from this chart, much of our growth potential for the future is on the demand side of the business. We think that's critical to expand out into those key markets and we're really pleased to be positioned the way we are. Our focus is especially important in the Northeast where we've got many producers up there that are really, really critical to them to get access to those markets, and we take those obligations very serious to get those developed and working hard to overcome continued regulatory and political hurdles that exist in getting all this big infrastructure in place up there. And so in the Northeast, while we, as I mentioned earlier, we did have quite a bit of gas shut-in in the third quarter, it really is a great opportunity for us as we continue to invest out. In fact, if we touch where we're (23:31) invested in in these assets in the Northeast, we're exposed to these assets that gather nearly a third of all the gas being produced up there. And so as we are able to develop our own infrastructure for takeaway as well as peers in the industry, we're going to see some tremendous growth that does not depend on additional drilling rigs because there's – not only is there a lot of gas shut-in for economic reasons up there today, we also have a tremendous amount of drilled and uncompleted wells and a big inventory of that, that again is just waiting on the right price signals not from the Henry Hub kind of natural gas prices but they are locally in the area. So we're excited to be working to get our customers exposed in that area. Moving on to slide five, to sum up some of the things that we went over today. I would reiterate that the quarter's results were a direct reflection of our strategy to uniquely position Williams to connect the very best natural gas supplies to the very best markets, and I really think it's hard for anybody else to make that claim in terms of how we're positioned in the natural gas market there. Very unique in that regard and we've worked hard to get there. The fact that we're delivering record quarterly DCF and record adjusted EBITDA through some of the tough headwinds for the industry is a real testament to the teams at Williams that are out there every day executing on our plan, working hard to deliver results for our shareholders. And we remain very focused on executing against our natural gas focused strategy and are very pleased with the results we've delivered here in the third quarter. And importantly, our backlog of projects continues to grow as we see the demand side of the natural gas story continue to develop. Sustainable low-cost reserves only serve to fuel the story of demand growth and we're excited to be a part of what will be a tremendous growth of the future. So with that, we'll move to the Q&A session. And I'd just like to remind everyone that the purpose of today's call is to discuss our operational and financial results for the third quarter of 2015, and I ask that you please limit your questions to these topics. And I want to thank you in advance for your understanding and cooperation on this. I know there's a lot of interest in understanding the transaction, but we're going to be limiting our comments today to the Williams operations and our performance here for the third quarter and drivers for the future. So with that, we'll turn it over to questions. Thank you.
Operator: Thank you. Our first question comes from Brandon Blossman of Tudor, Pickering, Holt Company (sic) [Tudor, Pickering, Holt & Co.] (26:49) Please go ahead.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Good morning, Alan; everyone.
Alan S. Armstrong - President and Chief Executive Officer: Good morning.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Let's see here. There is quite a bit. I guess just a little bit of bookkeeping; in terms of project timing in the Northeast, any incremental color on Constitution and getting that kicked off?
Alan S. Armstrong - President and Chief Executive Officer: Sure. We've gotten through all the work with DEQ with New York and that was kind of our final barrier up there. We are working with the Governor's Office to understand what – the cause of delay of getting that permit out, but that is kind of the final issue that we're waiting on. And so we're working to understand that. A lot of great work going on by the teams there to get the – past the requirement for the New York DEC (27:46), but we think we've gotten there. So really just up against getting the Governor's Office to sign off on that and then we'll be in a position to get that done for the fourth quarter of 2016.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: And so still on track for that timeline?
Alan S. Armstrong - President and Chief Executive Officer: Yes.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: The new Edmonton PDH facility, any color in terms of just how competitive that market is? Obviously, that's a much needed project in that region. Are there other folks competing for similar projects there? And just across your footprint, do other PDH units make sense, and what's the competitive landscape for those types of projects?
Alan S. Armstrong - President and Chief Executive Officer: Yeah. Great question. Well, I'd tell you that, that PDH project is very, very unique from our perspective, and that it's taking advantage of very low-cost propylene that's already in the area as well as the propylene that we would make with the new PDH facility. And so we, for quite some time, wanted to see polypropylene unit and downstream derivatives be developed in the area, because it's just a logistics game. So today a lot of that propylene is going into the Gulf Coast being converted into various derivatives, in particularly polypropylene, and then being railed back up into the Midwest market. And so this project takes advantage of that low-cost propane there in the basin and low-cost propylene that comes directly off of those big delayed cokers in the oil sands and then just transports it in directly into those Midwest markets and also will have access to international market out of places like Port of Vancouver. So really excited to be teamed up with the Goradia Capital Group and a huge marketer of derivative projects – derivative products around the world, and really excited to have them as a partner there. And I would tell you, the next available project to us is clearly a PDH 2 facility there and they're very interested in that and we certainly have plenty of product, as we continue to expand our upstreams oil sands operations, we've got a lot of propylene that we want to find a better home for than having to be railed into the Gulf Coast. So I would just tell you it really is a logistics play for us. We're not depending on the kind of propane basis differential that we've been living on up there, but we do expect the propane to be long there in Canada for quite some time and we really look to all kinds of alternatives for other uses of the propane and other logistics for the propane and really excited PDH is a great answer up there, especially with somebody coming – partnering with us to develop the derivative business for us. So exciting opportunity, not just for us, but really for the province of Alberta and allows them to take advantage of their very low-cost resources in that basin as well.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Awesome. Got it. Thank you. Very interesting.
Alan S. Armstrong - President and Chief Executive Officer: Thank you very much. (31:17)
Operator: Thank you. The next question comes from Christine Cho of Barclays. Please go ahead.
Christine Cho - Barclays Capital, Inc.: Good morning, everyone.
Alan S. Armstrong - President and Chief Executive Officer: Good morning.
Christine Cho - Barclays Capital, Inc.: My first question has to do with CapEx; year-to-date, it's been trending a lot lower than the guidance we got five months ago. And I'm guessing most of it is due to lower than expected spending in the Northeast and for the Access assets. Is the run rate of spending that we've seen for the first three quarters a good indicator for what to expect in fourth quarter? And how much of the spending would you say has been delayed? And is this more of a timing thing into 2016? Or is some of this stuff indefinitely postponed until pricing signals improve, like you've mentioned?
Alan S. Armstrong - President and Chief Executive Officer: Christine, I would actually say – I'll separate that. The maintenance capital piece, a number of drivers on that, but we still have a lot of maintenance capital work out in front of us. And just so you know kind of how we forecast that, a lot of that maintenance capital is invested in the inspection and improvement of our pipeline system. And so we go through the smart pigging process and we basically have to estimate the number of repairs or anomalies that we'll find when we do that inspection; and so that's how we do that. When we don't have as many anomalies show up or as many repairs required, then we don't have as much maintenance capital to spend. And so we still have quite a bit of inspection in front of us for the balance of the year and we would expect that maintenance capital continue to be pretty strong going into the fourth quarter. But clearly, it's a matter of us estimating at the first of the year (33:07) the amount of work we think we're going to have. And when we don't find those anomalies, then that's the money that we put back in our pocket, so to speak. But we have a lot of work out in front of us for both the third quarter and – sorry, into the fourth quarter and into 2016. On the growth capital side, that is somewhat driven by things like we would have hoped to have been started on Constitution by now, for instance. And so that is projects like that. But there are a lot of projects that we actually are seeing lower costs come in. And so, up in the Northeast, for instance, on our build-out in the Susquehanna County area, the capital – the team has been doing a great job up there, bringing in costs lower and as well on Atlantic Sunrise; we've continued to enjoy cost savings on that big project as well. So I would say the delay component is probably -that's built in there, is probably Constitution, and but there are some pretty substantial savings that are coming through in our numbers as well.
Christine Cho - Barclays Capital, Inc.: Okay, great. And then on the heels of that, it looks like you funded all the CapEx with debt in third quarter. I'm assuming you couldn't really tap the ATM PZ (34:24) while undergoing a strategic review, but how should we think about CapEx funding between now and closing of the deal at the parent? I realize that IDR waivers are going to help some, but can you tap the ATM markets given the uncertainty around the future of PZ (34:37)? And even if you could, I'm assuming you don't want to when the units are yielding 11% and credit metrics are high. So how should we think about this? Because I would think that you can't solely lean on the balance sheet for the next six months to nine months.
Donald R. Chappel - Senior Vice President and Chief Financial Officer: Christine, this is Don. Good morning.
Christine Cho - Barclays Capital, Inc.: Morning.
Donald R. Chappel - Senior Vice President and Chief Financial Officer: First, I'd say that I think the cost of equity capital is unusually high as a result of the high level of uncertainty regarding the energy industry right now. We expect that that will settle down, and in time here that the market will certainly reward the advantaged companies relative to those that are less advantaged or disadvantaged and cost of capital will make more sense as we move forward. We have a variety of options ahead of us, and the ATM is certainly one of those and we'll be balancing obviously cost and risk and – with a combination of debt and equity to finance and keep WPZ at investment grade ratings.
Christine Cho - Barclays Capital, Inc.: Can you go into further detail about alternatives to the ATM?
Donald R. Chappel - Senior Vice President and Chief Financial Officer: Christine, I think the alternatives we have are probably the same as most of the other industry participants. So I'm not going to delve into the variety of options because there are many, but I would say there are a number of options, and we'll evaluate all of those in an effort to find the lowest-cost solution while balancing risk and maintaining those ratings. And again, I would say that obviously WPZ has a supportive parent as well.
Christine Cho - Barclays Capital, Inc.: Okay. Last question from me, can you quantify how much gas was shut in in the Northeast for third quarter and for how long? And then, also, Alan, you mentioned that there is a lot of wells waiting on completion. Can you quantify that behind your acreage as well?
Alan S. Armstrong - President and Chief Executive Officer: Well, we're certainly not going to pinpoint anything for – which producers and so forth on that, but Jim Scheel, if you'll take that question generally?
James E. Scheel - Senior Vice President, Northeast G&P: Sure. For the third quarter in the, what I'd call the dry Northeast, we had a significant amount of volume shut in in the Bradford and Susquehanna Counties. We probably had about 350 million a day in Susquehanna and upwards of 400 million a day in Bradford, so pretty significant for the quarter shut-ins. Again, these are all price-related shut-ins. As you look at the OVM area or the Ohio River Supply Hub, we had about 150 shut-ins starting the middle of the quarter. We'll see that as we look at our reduced volume growth year-over-year in that particular area. And then, we saw shut-ins also of about 300 million in the Utica, those have come off. Those are – we are now flowing at full rate. In fact, this weekend we had a Bcf production at the Utica Supply Hub for the first time. So right now we have about 900 million shut-ins. As Alan indicated at the very beginning of the presentation, there's a number of other opportunities for us to grow volume besides the shut-in volumes including uncompleted wells, and that's true both in the Northeast portion of the Utica as well as – I mean, the Marcellus as well as the wet Marcellus in the South. Those give us a great amount of potential for future volumes. And as we look at our rig counts, we see those holding relatively steady as we go from 2015 to 2016, probably actually seeing a – although it'll probably stay at 15, it could go up by a couple of rigs over the course of that timeframe. Does that answer your question?
Christine Cho - Barclays Capital, Inc.: Yes. Thank you so much for all the color. Congrats on a good quarter.
James E. Scheel - Senior Vice President, Northeast G&P: Thanks.
Alan S. Armstrong - President and Chief Executive Officer: Thank you.
Operator: Thank you. The next question comes from Jeremy Tonet of JPMorgan. Please go ahead.
Jeremy B. Tonet - JPMorgan Securities LLC: Good morning.
Alan S. Armstrong - President and Chief Executive Officer: Good morning.
Donald R. Chappel - Senior Vice President and Chief Financial Officer: Good morning.
Jeremy B. Tonet - JPMorgan Securities LLC: Just wanted to follow up on that last point there a little bit if I could. As far as the 900 shut-in that you talked about, is there – do you have any visibility to that coming back online as far as, is there certain price points or other kind of regional de-bottlenecks you think that could help get that flowing, or any color there would be great?
James E. Scheel - Senior Vice President, Northeast G&P: Alan, would you like me to take that one?
Alan S. Armstrong - President and Chief Executive Officer: Please, Jim. Thank you.
James E. Scheel - Senior Vice President, Northeast G&P: All right. Sure. Obviously, we've talked about Henry Hub pricing and the basis differential, as I think you're aware. The basis differentials from the Northeast to market pricing have been significant. Many of our producers have been seeing realized prices in the $0.70 price range and that is pretty significant. But we have a number of opportunities, those of you remember at Analyst Day, perhaps, there are a number of projects including Constitution, Atlantic Sunrise which we're driving that are going to help bring the critical infrastructure we need to really unlock the value of these resources for our producers. In addition to that, you've got (40:19). You've got Leach. You've got Mountaineer. There are a number of industry solutions coming as we look forward into 2016 and 2017 that will help narrow those basis differentials and really unlock value for our producers in order to not only relieve the shut-in gas, but also really drive up the production rates. I think as we see that come on – we've already seen the Leidy expansion which is half a Bcf a day of incremental production coming on line that will help alleviate some of that as we go forward. But I – although we're not giving guidance as it relates to future year volume growth, I would just say, as we see that basis differential come down we're – if our producers saw the $2 pricing, we would see just tremendous volume growth in the Northeast. And then, finally, we need to look at winter pricing and weather-related issues as we go into the winter of this year, could also help improve some of those differentials and increase our Northeast volumes.
Jeremy B. Tonet - JPMorgan Securities LLC: Great. Thanks for that. So it sounds like some of these takeaway solutions, probably, at least a few quarters off, if not a big longer, so takeaway won't necessarily help in the near-term, but if weather can improve that basis that could potentially be more of a near-term catalyst to help you guys out there?
Alan S. Armstrong - President and Chief Executive Officer: Well, I would just add to that. Thank you for the question. I would just add to that, certainly, as Jim mentioned, in the near-term, we have the Leidy Southeast, that's 525 million a day. So that's pretty substantial. Because a lot of that Northeast volume is gathered by our system, we should expect to see some of that relief parlayed (42:17) directly to our gathering assets up there. As well, I would just say, as you mentioned, we are in a fairly warm shoulder here and certainly in the cold – not just for the sake of gas prices in the Northeast, but as well for NGL prices and particularly propane, we'll see some relief during the winter like we always do as that propane is called on to deliver local markets rather than it being transported from the South, the way it used to be.
Jeremy B. Tonet - JPMorgan Securities LLC: Great. Thanks for that. And then just looking at Atlantic-Gulf. It was quite a nice quarter all take (42:56). And I was just curious were there any kind of weather or one-time benefits that helped with the quarter there? Or did the quarter really perform in line with your budget and this is kind of a new run rate to think about there?
Alan S. Armstrong - President and Chief Executive Officer: Yeah. I'll take it. I don't know if we have Rory on line, he may want to provide some more detail, but – no, it really was just a matter of these big projects really starting to mount up and it really was a matter of having a full quarter. There really wasn't any seasonal issues. In fact, volumes on Transco on a, just a throughput basis were actually a little bit lighter and that's just based on moderate weather relative to last year's moderate weather. And remember, we don't really make the – Transco doesn't get driven up/down (43:43) all that much by seasonal just because all the capacity is sold out firm and so it really doesn't move with throughput (43:53). But the answer to your question is, no, there was nothing seasonal about it, it's just these big projects are starting to pile up (43:59).
Jeremy B. Tonet - JPMorgan Securities LLC: Great. Thanks. That's it from me. Thank you.
Operator: Thank you. The next question comes from Craig Shere of Tuohy Brothers. Please go ahead.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: Good morning. Congratulations on a nice quarter.
Alan S. Armstrong - President and Chief Executive Officer: Good morning. Thank you.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: Good to be above one times coverage.
Alan S. Armstrong - President and Chief Executive Officer: Yes. It is.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: So on Christine's CapEx question, Alan, you referenced some cost savings in Susquehanna and at Atlantic Sunrise, and I'm just wondering is the bulk of that kind of project-specific with good execution or just across the board are we starting to see industry-wide material and labor cost deflation?
Alan S. Armstrong - President and Chief Executive Officer: Yeah. I would say in the case of the Susquehanna Supply Hub, a couple of things: that team has really worked hard to take advantage of the scale of the installation of our compression and our gathering lines up there, and they've worked very hard with the Access team to really pull together our very best thoughts about the way to put infill compression, and so that kind of thinking is really starting to pay off for us out there, and just a real intense focus on tight project controls and execution. So without any doubt in my mind in the Susquehanna Supply Hub area, it is better execution by our team and years of focusing on better projects execution really starting to pay off up there. And that really – it's really nice to see the teams bringing the best ideas of both organizations together and really showing up in a tangible way there. On Atlantic Sunrise, I would just say that given the uncertainties that we've seen in putting in these big infrastructure projects – we've built in quite a bit of contingency into these projects, and as we deliver those projects we are able to – and start to have some of those things quantified, we're able to reduce some of that contingency. What we also did see is, as we announced earlier, we did see some lower cost on materials particularly pipe and so it's a little bit of both on Atlantic Sunrise, I would argue.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: Okay, great. And where is the current state of Geismar utilization?
Alan S. Armstrong - President and Chief Executive Officer: John Dearborn, you want to take that please?
John R. Dearborn - Senior Vice President, Natural Gas Liquids & Petchem Services, The Williams Cos., Inc.: Yeah. Sure. I'd be glad to, Alan. Thanks. And Craig here is where we are. You'll notice in our results we're reporting that Geismar's running at – we sold about 404 million pounds this quarter. I'll remind you that that's WPZ's share of Geismar, so Geismar actually sold more closer to – or produced closer to 450 million pounds, between 450 million pounds and 460 million pounds in this quarter. We have been running a bit of propane as a feedstock as we bring the plant back into operation. And so there's about another 18 million pounds of propylene that we've been producing there. Net-net, when you add all that up and make some adjustments and simplifying assumptions, so you can calculate a utilization rate we, over the quarter, ran about an average of 98%. But let me take you a little further on that. We're extraordinarily pleased with the Geismar team, the Geismar family there, because they have been setting production records that are yet in excess of that and we have a bit of upside yet to be found in that. We have two transformers that are yet scheduled to be replaced in next year that could help the team to further hone or find some increments. So I would say setting the expectation, we have a little bit of upside yet on volume out of Geismar, but it's running extraordinarily well here during this quarter and we're really grateful of the team and all the efforts they put into restoring the safe and reliable operations of that unit.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: That's great, John. I know it's been a long road there and it's terrific to hear such a good quarter in terms of execution.
John R. Dearborn - Senior Vice President, Natural Gas Liquids & Petchem Services, The Williams Cos., Inc.: Appreciate your comments. Thank you.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: Last question is the PDH project, still somewhere in the neighborhood of perhaps $1 billion investment or almost then – picking up on the answer to Brandon's question, is there any thought about the gap in timing that could be for a second PDH project after the first one is online?
Alan S. Armstrong - President and Chief Executive Officer: I'll go ahead and take that real quickly. As to the costs, we're not going to disclose that until we go for our FID on that. And so really good work done by fine-tuning our estimates. And we do think it's a good time to be building up there, but we've certainly looked around the industry and seen what's going on on several of the other PDH projects and have been careful to take note of that as we continue to refine our estimates up there. So I would say that we've had kind of two things. On one hand we've been taking note of some of the project cost across the industry on that; and on the other hand, we are seeing favorable conditions in Alberta, but we really don't want to book that, if you will, into our estimate, and are hopeful that will provide some upside on our costs there. So big investment and we'll be providing – we're not going to be providing that number just yet until we get to the FID report, at least further along. On the gap in timing for PDH 2, really good question. That's a difficult issue, because you don't want to change scope in the middle of your project. I would tell you we have done a lot to make sure that when we do put in the PDH 2 or if we get to that decision that we've got all the space and auxiliary and the planning both on the propylene side and on the polypropylene side thought through, so I would just say we're making investment thinking about the future for PDH 2. And we do think the returns for PDH 2 project would be very attractive, but we're really just trying to keep our focus tightly on the scope of PDH 1 to start with. So I'd just say we're not ready to bring forth a PDH 2 decision just yet, but we are planning for the future.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: Understood. Congratulations again on the quarter.
Alan S. Armstrong - President and Chief Executive Officer: Thank you.
Operator: Thank you. The next question comes from Darren Horowitz of Raymond James. Please go ahead.
Darren C. Horowitz - Raymond James & Associates, Inc.: Hey, guys. Good morning. Alan, just one quick question for you. I realize you're still evaluating like you said that scope of PDH 1, but as we're trying to put some numbers around the profitability of the volume commitments that you announced in addition to obviously the low feedstock cost, is the biggest influence at arbitrage (51:44) between the level of currently produced refinery-grade propylene and where you see the demand growth for PGP and the derivatives? And that's the big driver? Or as we start to model this, do you see maybe the domestic PGP and derivatives demand significantly increasing, or maybe more margin opportunity like you said for international export? I'm just trying to figure out the drivers as to how we should think about the profitability of this plant and possibly PDH 2 over the next couple of years?
Alan S. Armstrong - President and Chief Executive Officer: Yeah. Good question. I would say really the party that will be having the lion's share of that exposure obviously would be our partner who would be in the business of marketing that product, polypropylene product, and certainly that's their expertise. And I think they're really excited about the markets they think this very low-cost supply can get into. From our vantage point, we're going to be very focused on producing propylene at a low cost and into that contract that is a fee-based contract. And so that's what we're going to be very focused on. And while we do have some exposure to the profitability over the time of that, primarily our focus is going to be on just driving volumes at a low cost and selling them to a fee-based contract.
Darren C. Horowitz - Raymond James & Associates, Inc.: Thank you.
Operator: Thank you. The next question comes from Ted Durbin of Goldman Sachs. Please go ahead.
Ted J. Durbin - Goldman Sachs & Co.: Thanks. I would love to ask about the Appalachian Connector project. You mentioned the fact that producers are really interested in getting their gas uptown and it seems like a good solution, but there are some competing projects that look like they're along the same lines there. So just wondering if you – what the discussions are with producers, their willingness to commit to volumes, any range of sort of CapEx or return you might expect on a project like that?
Alan S. Armstrong - President and Chief Executive Officer: Yeah. I would just say we've been looking at a number of alternatives on that project. The thing that we – the two drivers, I would tell you is, this continued demand for natural gas in the Southeast and power generation markets and Transco being so uniquely positioned to be able to expand cheaply out of Station 165 to the South. And so that's a huge carrot, if you will, that we have uniquely available to us and we're using that to bring forward the very best project for the market. So I would just say it's pretty fluid, but that's a very – almost immovable opportunity, if you will, that is uniquely ours and provides us an ability to enter into the very best project but we want to make sure we can maximize that value after all the other investments have been made. So that's the first piece of that. Second piece of that, I would say, is that the kind of volumes that we're seeing from the dry Utica are just continuing to impress us and some tremendous volumes up there that we think are going to – cost is going to continue to lower on, and those are the drivers. So I would just say, we think the need for this project will be out there and we think we've got some unique positions that allow us to maximize the profitability when we do decide to invest in that project.
Ted J. Durbin - Goldman Sachs & Co.: Okay. Thank you for that. And then a little more housekeeping here, but the – now, that we have Geismar up and running, the operating costs in the NGL & Petchem Services, is this sort of a good run rate that we saw in the quarter; or is there any other puts and takes there as we think about it going forward?
Alan S. Armstrong - President and Chief Executive Officer: John, you want to take that please?
John R. Dearborn - Senior Vice President, Natural Gas Liquids & Petchem Services, The Williams Cos., Inc.: Sure. Glad to do that. Great question and thanks for it, Ted. I guess the run rate, if I thought about the earnings in the absence of any commodity price volatility, the earnings would be a reasonable run rate to look at for the business coming through this quarter. As I think Alan mentioned, Geismar is contributing. NGL services had a reasonably good quarter for NGL services in Canada with its commodity exposure, was probably third on the list there. As you're looking at the costs, we may have experienced some costs in this quarter that are just slightly higher than we would have expected for particularly the Geismar unit, but that would be on the order of just a few million dollars, so I wouldn't expect the costs to be hugely different going forward as the run rate goes, Ted. Hope that answers your question.
Ted J. Durbin - Goldman Sachs & Co.: Perfect. That's it from me. Thank you.
Alan S. Armstrong - President and Chief Executive Officer: Thank you, Ted.
Operator: Thank you. The next question comes from Becca Followill of U.S. Capital Advisors. Please go ahead.
Becca Followill - USCA Securities LLC: Good morning, guys.
Alan S. Armstrong - President and Chief Executive Officer: Good morning, Becca.
Becca Followill - USCA Securities LLC: (57:17) on the Chesapeake recent negotiation on the Haynesville MVCs, can you talk about what happens in a low gas price environment? Do they have an option for an outpay (57:26) or do they need to continue to drill into that agreement?
Alan S. Armstrong - President and Chief Executive Officer: Thank you. I don't want to be too specific, but, first of all, for 2016 and 2017, as we mentioned earlier, our cash flow from the MVC has not changed, so there really is no change on that. And relative to the obligation to drill, that is a firm obligation and there isn't any out for pricing (57:51).
Becca Followill - USCA Securities LLC: And then post 2017?
Alan S. Armstrong - President and Chief Executive Officer: Well 2017, that's when those MVCs ended naturally under the contract, so (58:03).
Becca Followill - USCA Securities LLC: Okay.
John R. Dearborn - Senior Vice President, Natural Gas Liquids & Petchem Services, The Williams Cos., Inc.: And the design of the drilling obligation was to ensure that the volumes as the 2017 period ended were at a relatively high level.
Alan S. Armstrong - President and Chief Executive Officer: Yeah. So that really was really great trade for both of us on that. We allowed them to bring – combine those fields and allow them to put the best economics to work on their capital, but in exchange to that we both got a longer-term and better expectations for volumes and growth (58:39) in the future. So really (58:40) to find a winner and a loser on that, but I would just tell you from my vantage point, and believe me we've studied it hard that really, really is a win-win. And it only makes sense that there is, because when you're forcing people to make uneconomic capital decisions and you allow them to make better capital decisions you improve the lot (59:00) for both parties.
Becca Followill - USCA Securities LLC: Thank you. And then can you talk about discussions with them? Are discussions continuing to maybe renegotiate some other of these contracts?
Alan S. Armstrong - President and Chief Executive Officer: I would just say that we're – we think those were the bulk of the opportunities, but we'll continue to look for opportunities if there are growth opportunities. And so always, always happy to work with them, great relationship developed there, and we're very, very thankful to have them as a customer. We think they're a great operator and have been very fair to work with. So we'll continue to look for opportunities, but we don't have anything immediately to offer on.
Becca Followill - USCA Securities LLC: Thank you.
Alan S. Armstrong - President and Chief Executive Officer: Thank you.
Operator: Thank you. The next question comes from Christopher Sighinolfi of Jefferies. Please go ahead.
Christopher Paul Sighinolfi - Jefferies LLC: Hey, Alan. How are you?
Alan S. Armstrong - President and Chief Executive Officer: Good morning. How are you?
Christopher Paul Sighinolfi - Jefferies LLC: I'm great. Thanks for all the color this morning. A lot of it's been a hit already, but just maybe two questions from me. The Gulf Connector project, looks like the proposed capacity there came down quite a bit from where you were before. Just wondering on any color you could offer on that project, either costing-wise or counterparty-wise your thoughts on initial versus maybe future expansion opportunities on the side then (01:00:23)?
Alan S. Armstrong - President and Chief Executive Officer: Yeah. Sure. Thanks for the question. Rory, would you take that question please?
Rory Lee Miller - Senior Vice President, Atlantic – Gulf Operating Area: Sure. Yeah. Good eye there, Christopher. Those numbers did change a little bit quarter-to-quarter. When we initially had that open season we had requests for much more capacity than we could handle, so we moved forward with two parties, and one of those parties has stepped out and decided that they are not going to pursue signing the agreements and making the commitment. So we've reduced the size of the project. Now, that's kind of the bad news. The good news is, some of those – one of the other players that wanted to get in, but couldn't is now going to have an opportunity to come into the project. So the project is going to be a bit smaller but the returns actually go up on the project. So we still think it's a very high quality project and one we're excited about pursuing. And kind of as you hinted out in your question, that does leave us some additional capacity that we have to work with for new opportunities that we think are going to be out there.
Christopher Paul Sighinolfi - Jefferies LLC: Okay. Thanks. Thanks for the color on that. I guess switching gears and this is just my second question. Alan, really appreciate the update on shut-ins in the Northeast and your volumetric projections and thoughts around that there. Was curious if we pivot to the West performance, at least as we were thinking about it, it was pretty solid mostly on the pricing front this quarter. Just wondering how you're thinking about producer activities out there; potential volume movements as we move into 2016 out there?
Alan S. Armstrong - President and Chief Executive Officer: Yeah. Sure. I'd just say that the producers just continue to find ways to bring in additional production out there as well with very, very few rigs running. But continue to find ways to do that, and as well are being very efficient with that. We are seeing some things that are pretty interesting out there in terms of new development. But I think our hope for that right now is to just – in the current pricing environment is to keep driving our unit costs low and keep the volumes as flat as possible, is kind of our expectation. The good news about the West relative to what we're seeing in the East is that, there's plenty of takeaway capacity, plenty of infrastructure, the gathering and processing costs are relatively low because it's older infrastructure that was built in a different pricing era. And so the variable cost or the cash cost to the producer to produce is relatively low. So we really just haven't – and we've seen very – we've seen a very small almost insignificant amount of ice-related shut-in, just like we would in any winter or shoulder month in the West. But overall, it's a very low cost place for variable production. And so we really don't expect a whole lot of change out there. So lots of reserves, lots of known reserves, and I think if we do see a price signal producers are ready to jump on it, but we're not expecting anything dramatic out of the area. And really proud of the team for working hard to keep our cash flows as steady as they have, considering how low NGL margins have been out (01:04:02).
Christopher Paul Sighinolfi - Jefferies LLC: Great. Thanks a lot, Alan. Thanks for your color this morning. Appreciate it.
Operator: Thank you. The next question comes from Sharon Lui of Wells Fargo. Please go ahead.
Sharon Lui - Wells Fargo Securities LLC: Hi. Good morning.
Alan S. Armstrong - President and Chief Executive Officer: Good morning.
Sharon Lui - Wells Fargo Securities LLC: Just wanted to, I guess, get your thoughts in terms of the pace of additional capital spending for gathering and processing assets in the Northeast, given the current environment? Specifically, maybe if you can talk about, I guess, the investments tied to the Utica with Chesapeake and how you see maybe that $600 million of capital ramp up over the years?
Alan S. Armstrong - President and Chief Executive Officer: Yeah. Great question. I would just say that we're really excited about that acreage dedication and think that once the infrastructure demand, or – sorry, the infrastructure constraints are lifted out there and the firm obligations that various customers have out there, they'll be working to take advantage of that firm capacity that they have, and so feel pretty good about the prospects of that. But I also would say that the way we're structured on that, we're not obligated to go spend that money out in front of the production showing up, and so we have an ability to step into that. So we're not going to be out spending capital in front of that drilling from a risk standpoint. But we do think that's a very, very good acreage, some really impressive cost levels available to it. And so we're really excited. We've got a very good vantage point of what people's production versus cost levels are. We're very excited about that acreage.
Sharon Lui - Wells Fargo Securities LLC: Thank you.
Alan S. Armstrong - President and Chief Executive Officer: Thank you.
Operator: Thank you. Our last question comes from John Edwards of Credit Suisse. Please go ahead.
Bhavesh M. Lodaya - Credit Suisse Securities (USA) LLC (Broker): Hey, good morning. This is Bhavesh instead of John on. So most of my questions are answered. Just a question on Geismar. Given where ethylene prices are, curious to know your views on prices going ahead for the next maybe few quarters and whether there are any opportunities to maybe have any fee-based contracts against (01:06:28)?
Alan S. Armstrong - President and Chief Executive Officer: John, you want to take that please?
John R. Dearborn - Senior Vice President, Natural Gas Liquids & Petchem Services, The Williams Cos., Inc.: Sure. Glad to take it and thanks for the question. Yeah. First of all, we're really pleased to be serving customers again back in Louisiana. It just so happened that as we brought Geismar back on, so did Evangeline come on, and so the market was well served. And I think looking back over our shoulder here, in the last quarter, the ethylene market was well served by production in that there were very few shutdowns or unexpected shutdowns. And I think in at least one of the months – say it was July, we saw industry-high production. So I think all of that lead to perhaps a bit of an oversupply or a slightly long market in ethylene and the necessary price adjustments that occurred during the quarter. I'll note, though, that over the last weeks, two weeks notionally, we recovered some of that price. It's come back up probably on the order of about $0.05 at this point. And so just to take the conversation a little further forward to answer your question, finally, as we look forward and we look into, we call it, the second quarter of next year, a couple of factors that'll play positively is a very high turnaround season. And I think another factor that will play positively is relatively low inventories of ethylene by any public accounting. So I'm certain that people are doing exchanges to fill their needs in next year, but low inventories and high shutdown rates, planned shutdown rates certainly bode well for the supply/demand balance, I think, in our favor. I hope that brings the necessary coloring; that's the way we see things playing out here over the next couple of quarters.
Bhavesh M. Lodaya - Credit Suisse Securities (USA) LLC (Broker): Sure. And are there any opportunities to tie in contracts, pricing-based contracts, on these?
John R. Dearborn - Senior Vice President, Natural Gas Liquids & Petchem Services, The Williams Cos., Inc.: Yeah. Thanks. Forgot to mention on that. We're always in the marketplace looking to secure the best value for our ethylene out there and we have been in conversations in past – I'll say, past quarters, including this last quarter, and we continue to have conversations with customers over whether or not they desire to enter into any sort of contracts, all in, including fee-for-service contracts and so trying to lock in some of the margins into the future. Of course, in this dynamic price environment, everyone sits across the table with kind of rubber guns pointed at each other, and we'll see where those negotiations go over time. But we're always looking, when it would appear to be favorable to us, to lock up solid volumes and solid margins on Geismar 1.
Bhavesh M. Lodaya - Credit Suisse Securities (USA) LLC (Broker): Great. Thank you. And thanks, Alan, and congrats on a great quarter.
Alan S. Armstrong - President and Chief Executive Officer: Thank you very much. Appreciate that.
Operator: Thank you. There are no further questions at this time. Please continue.
Alan S. Armstrong - President and Chief Executive Officer: Okay, great. Well, thank you everybody for joining us this morning. We really appreciate the interest and appreciate you respecting the scope of our discussion this morning as well. So thank you for that. Also just want to say big thanks to the team here at Williams, great execution, and just a lot of great focus on delivering a strategy that we had before us, and appreciate all their attention to focus despite the many distractions that we've had. So with that, thanks again for joining us this morning and have a good day.
Operator: Ladies and gentlemen, this does conclude the conference call for today. You may now disconnect your line and have a great day.